Raquel Cardasz: Good morning, everyone, and thank you for waiting. I'm Raquel Cardasz from IR, and we would like to welcome everyone to Pampa Energia's First Quarter of 2025 Results Video Conference. Before continuing, please read the [Indiscernible] Let me mention that forward-looking statements are based on Pampa Energia's management beliefs and assumptions and information currently available to the company. They involve risks, uncertainties and assumptions because they are related to future events that may or may not occur. Investors should understand that general economic and industry conditions and other operating factors could also affect the future results of Pampa Energia and could cause results to differ materially from those expressed in such forward-looking statements. Now I will turn the video conference over to Lida.
Lida Wang: Thank you, Raquel. Hello, everyone, and thank you for joining our conference call. I will make a quick summary of the Q1, very quick, so you can find more details in the earnings release and the financial statements. For today's Q&A, we have our CEO, Mr. Gustavo Mariani; our Head of Oil and Gas and EVP, Mr. Horacio Turri; and our CFO, Mr. [Adolfo Zuberbuhler] So let's go to the first quarter 2025. We saw a solid performance in power generation and utility businesses, along with higher gas deliveries for thermal generation. Also, a key highlight after the quarter-end was the FID on the FLNG project, where Pampa holds a 20% stake. This milestone officially kicks off the project. The 2 chartered vessels will export 6 million tons of LNG per year, requiring 27 million cubic meters of gas per day. Pampa will supply up to 6 million cubic meters per day through a GSA. This is almost a 50% increase from our current average production of 13 million cubic meters per day. The first vessel is expected online by the end of 2027 or early 2028 and the second, the MKII, will be a year later. This is a strategic move to monetize our Vaca Muerta reserves, position Argentina in the global LNG market and bring in much needed foreign currency inflows, create jobs and boost local suppliers. In addition, last week, TGS and Transener reached a major milestone by completing their comprehensive tariff reviews. Their conditions now are set for the next 5 years until 2030, marking a real progress toward regulatory normalization in the Argentine utility universe. So now turning to the numbers. The adjusted EBITDA for the quarter amounted to $220 million, which was 17% up from last year, driven by stronger spot prices in power, higher deliveries of Plan Gas, the full commissioning of PEPE VI and tariff hikes at TGS and Transener. It is also worth noting that last year's Q1 included a $20 million haircut from CAMMESA, which didn't repeat this year. These gains were partially offset by higher operating costs and softer B2B gas sales. Compared to last quarter, EBITDA improved due to seasonality and stronger peso-linked margins in spot energy and utilities. The CapEx rose 35% year-on-year, mainly due to the progress that we're doing at Rincon de Aranda, which absorbed $114 million out of the total $180 million of CapEx in the quarter. Moving on to E&P business in Slide 4. Adjusted EBITDA was $41 million in the Q1, down 39% year-on-year, largely due to the increased operating expenses, mostly related to Rincon de Aranda as we were preparing for production ramp-up. Also, we saw lower sales to industries because there was a partial disruption that already fully we enabled at TGS transportation system in March, following severe floods and soft exports to Chile driven by the weaker Brent prices. These headwinds were partially offset by stronger deliveries under Plan Gas, supported by robust thermal power demand, thanks to the hot weather and low hydro power water input. Higher costs due to well testing and preliminary low output at Rincon de Aranda drove lifting cost per boe 20% year-on-year up to $6.9 per boe. Gas lifting costs also increased, though moderately, up 17% year-on-year to $1 per million BTU, mainly explained by higher treatment costs and partially offset by solid gas output. If you compare it, however, quarter-on-quarter the lifting cost per boe was down 20%, explained by increased seasonal output and lower lifting cost expenses. Total production averaged nearly 73,000 barrels of oil equivalent per day. This is flat year-on-year, but higher quarter-on-quarter because of seasonality. When we zoom in on the mix, the oil just accounted 4% of total output and 15% of the revenues of the segment, explained by the divestment of Gobernador Ayala and the decline in conventional oil blocks that we do not operate. Total gas production remained flat year-on-year at just under 12 million cubic meters per day. However, it grew 21% versus the last Q4. This is explained by seasonality. El Mangrullo continued to lead the output, but its share, production share, fell to 55% of Q1 gas volume. Meanwhile, Sierra Chata increased to 30% of total gas production, which increased 51% year-on-year. Both blocks, however, we didn't tie-in any new wells during the quarter. As of today, we drilled 3 out of the 15 planned wells at Sierra Chata this year, which is all our operating gas drilling campaign for the 2025. This is reflecting the robust productivity -- shale productivity at Sierra Chata. 56% of the quarter's production was shale. Gas prices averaged around $3 per million BTU. This is 6% down compared year-on-year because of B2B oversupply, which pushed the prices down and weaker Brent prices affecting exports. These effects were partially offset by improved retail prices. As you know, there is a lot of tariff increases. As you can see right below, most local gas deliveries went to the thermal power generation to CAMMESA. Exports were steady year-on-year, but as Horacio flagged in the last Q4 call, since May, we've been increasing our flows through GasAndes, and more recently, we are doing it through Pacifico pipeline, now delivering 0.5 million cubic meters per day to Southern Chile. So in total, we are exporting 1.5 million cubic meters per day of gas to our neighboring country. In late April, we also made our first export, our first shipment to Chile -- to Brazil, sorry, uncovering a new frontier to Pampa. With this outlook, our 2025 export campaign is on track to double last year's volumes, export volume. Now let's zoom in on Rincon de Aranda. In March, we completed the fracking and tied-in the Pad #2 of 4 wells, now beginning to ramp-up the production and fill up the pipelines and the temporary production facility called TPF, which has a capacity of 20,000 barrels per day to treat it. Also, that said, we are still clearing out water. We just need more days to assess the final performance. Currently, the block is averaging over 6,000 -- close to 6,500 barrels per day all transported through pipelines and no more trucking. Therefore, lower transportation costs, lower cost in the area going forward. In terms of takeaway capacity, Pampa holds 8,000 barrels per day in its own right in Duplicar, plus another additional 12,000 barrels temporarily borrowed from third parties, giving us flexibility as production is ramping up. So far this year, we drilled 5 pads, fracked 3 of them and tied in 1, the one I told you. We have 2 more in the queue with tie-ins planned in the next couple of weeks. Everything can be asked to Mr. Turri. We are also making progress in infrastructure. The temporary production facility or TPF is online, as I said. The local pipelines and other facilities across the area are being built. Currently, we have 2 high-spec rigs working and we have 1 frac fleet active in the field. So for 2025, we are targeting a total CapEx for this block of $800 million. And by Q4, we aim to hit 20,000 barrels per day of production with 8 pads online. So moving on to the power generation business on Slide 7. We posted an adjusted EBITDA of $130 million in Q1. This is a 51% increase year-on-year, mainly explained by higher spot prices as those units have been getting more price updates than inflation and devaluation. On top of that, we had strong contributions from newly commissioned PEPE VI wind farm and outstanding operating performance this quarter, especially our PPA-backed units, partially offset by higher operating expenses. Generation volumes remained stable year-on-year despite the decline in the total national grid, mainly thanks to PEPE VI, higher gas supply thanks to the Perito Moreno pipeline, stronger wind and reduced downtime in Loma de la Lata. The outage that we experienced in HINISA, Nihuiles Hydro, due to heavy flooding and Barragan's programmed overhaul partially offset these variations. Capacity payments, especially take-or-pay from the PPAs, are the key part of this segment EBITDA performance. So once again, our thermal capacity delivered outstanding availability of 96%. The overall capacity -- availability dipped due to Nihuiles floods, but PEPE VI's commissioning helped to offset that. In terms of maintenance, in March, we launched a major overhaul of Loma de la Lata CCGT's gas turbine, including life-extension work. Next month, we will begin the upgrading project in Barragan's gas turbines to boost efficiency and increase by 11 megawatts the capacity. Okay. So moving on to Slide 8, looking at the cash flow. We show just the restricted group just because that reflects the bond perimeter. In Q1, we posted a free cash outflow of $118 million, mainly driven by higher CapEx destined to the development of Rincon de Aranda, which accounted for 71% of the total CapEx in the restricted group, plus a seasonal increase in the working capital. As a result, cash and cash equivalents ended the quarter at $1.1 billion. Finally, on the balance sheet, gross debt stood at $1.6 billion, which is up 19% decrease compared to December 2024, due to the redemption of the 2027 notes. Net debt increased to $577 million. This is 0.8x net leverage ratio, reflecting the decline in cash explained before. The issuance of the 2031 and 2034 notes allowed us further to extend our debt average life to 5 years and significantly improve our maturity profile. So this concludes our presentation. Now the floor is open for questions.
A - Lida Wang: [Operator Instructions] We have first question coming from Ignacio Sniechowski, Invertir en Bolsa. I hope I pronounced well your last name. How is the situation today in Ecuador?
Gustavo Mariani: Thank you, Ignacio, for the question. The situation in Ecuador, as you know, we -- the concession ended the end of last year. We gave it back in November of last year to the Ecuadorian government. And since then, we have been trying to get rid of the -- get rid -- this is not to recover the guarantees that we were giving for these concessions. There are 2 guarantees of $50 million each. One is an environmental guarantee and the other one is an operational guarantee. There is no reason at all that these guarantees should not be released because the pipeline is operating in perfect conditions and there has not been any environmental issue during our time as operators of the pipe. But so far, we have not been able to obtain the release of the guarantees. So a few weeks ago, we decided to initiate an arbitrage to reconnect these guarantees, which we are very optimistic of the results. We don't know how long is it going to take, but that is basically the situation. Very optimistic about the outcome of the arbitrage, but it will take some time.
Lida Wang: All right. Alejandro Demichelis from Jefferies. He's asking, please, can you update on the development of Rincon de Aranda? And what production exit rates you expect for this year?
Horacio Turri: Thanks for the question. Rincon de Aranda so far, we drilled 5 pads. We fracked 3. We have 1 tied-in, which is Pad #2. The performance is pretty good. We are pumping approximately 6,500 barrels a day overall. And the -- as I mentioned, the well performance is what we expected and is very good. The -- what we are going to do in the coming days is tying in the next 2 pads, which are pads #3 and #4 -- and well, keep on with the fracking until we end up with 6 out of the 7 pads being fracked by the end of '25 and tied in. I don't know if he asked about the production rates.
Lida Wang: Yes.
Horacio Turri: Okay. The production rate, as I mentioned, today is 6,000 -- more than 6,000 barrels a day. We are supposed and we hope that we will get to 20,000 barrels per day by the end of '25. And so far so good.
Lida Wang: Awesome. Thank you, Horacio. And the next question he asked, with investments in upstream and LNG, where do you see the CapEx requirement that in the next couple of years? So in the CapEx, I'll leave it to you.
Horacio Turri: Okay. CapEx for the LNG, you mean?
Lida Wang: LNG and upstream sales.
Horacio Turri: Okay. LNG, well, we are hiring the 2 vessels. But for the Hilli, we have a commitment of $7 billion in the 20 years. Regarding CapEx, specifically for all of the facilities and ancillary services that we need for the boats, we are talking about $700 million until 2028, out of which $150 million are going to be paid by Golar. So we have a remaining of $550 million and out of which we have a participation of 20%. So it's a little bit more than $100 million for Pampa.
Lida Wang: Correct. And for upstream?
Horacio Turri: And in the upstream, we're going to be developing Sierra Chata. Our estimation in order to supply the almost 6 million cubic meters per day that is our share of the 2 vessels, we envision around $400 million from 2026 till 2028.
Gustavo Mariani: And just to add that, in addition to those $700 million that you mentioned, we need to build a dedicated pipeline. We are quite optimistic that a midstream will build it and the consortium will pay it as transportation tariffs as an OpEx.
Lida Wang: And then I guess he's asking also what about the upstream investments in Rincon de Aranda, because you mentioned.
Horacio Turri: Okay. No problem. Rincon de Aranda for 2026, we envision around $500 million, $460 million to be more accurate, out of which $360 million comes from drilling and completion and $100 million out of facilities.
Lida Wang: Awesome. Well, next question from Guido...
Horacio Turri: No, I think he asked about the...
Adolfo Zuberbuhler: So this year, we're planning to fund all our CapEx with the cash flow generated by power and gas businesses plus our strong cash position. So we're not envisioning issuing more debt unless -- no more debt for CapEx. If there are very good market opportunities, we will always pursue an active liability management. But other than that, we're not seeking to increase our debt significantly.
Lida Wang: Thank you, Vito. Next question is coming from Guido Bizzozero from Allaria. Regarding the Argentina FLNG project, how much of the $7 billion CapEx announced by Golar will be financed through project finance and how much by the 20% stake of Pampa in SESA?
Horacio Turri: Well, the $7 billion of CapEx is not being financed at all by us. It's just a higher fee. So there's no finance there. And as I mentioned before, what we need to face in the future is 20% of those $550 million, which is a little bit more than $100 million less the upstream. And again, as Gustavo mentioned, we are assuming that the new pipeline is going to be transportation capacity charge.
Lida Wang: Awesome. In order to achieve the 6 million, I think you already have mentioned, it's how much CapEx? Already mentioned about. Do you have an estimation of the EBITDA contribution for this new project by '28, '29, 2028?
Horacio Turri: Okay. When the 2 vessels are online and we are going to -- we are already delivering the almost 6 million cubic meters per day, we estimate approximately $150 million of EBITDA for an FOB price of $7.2 per million BTU. That's what our best estimation of EBITDA is.
Lida Wang: Conservative?
Horacio Turri: Yes. It's -- I would say, it's a base case.
Gustavo Mariani: Yes, based on that price...
Horacio Turri: Based on that price of $7.2.
Lida Wang: Right. Well, considering the FLNG is now full year gas project for 2028, are you planning any other project for the idle gas production in capacity during the summer period or the off-take period?
Horacio Turri: I don't think I understand very well the question. I mean, the demand for the vessels is flat.
Lida Wang: No, I think he had -- means another project beyond FLNG like via, for example, or...
Horacio Turri: The only project that we have today on facing us is the potential expansion of TGS through the IP that we already presented to the government. And that accounts for 40 million additional cubic meters per day, out of which eventually we might get, I don't know, maybe 20% of that. So it's going to be around 3 million cubic meters for 120 days a year. So that's the only project that we have in the short-term.
Lida Wang: Great. Guido is also asking, could you give us a little bit of color about the expected evolution for lifting cost and production. Production we already talked, but lifting costs in Rincon de Aranda?
Horacio Turri: No problem. For Rincon de Aranda, we have like 3 different stages. One that's already -- we've already been through, which was the trucking, I would say, the trucking stage, which was obviously the most expensive. We were talking about $23 to $24 per barrel of lifting cost, which obviously is very expensive. Now we already tied in our first stage of our pipeline, connecting Rincon de Aranda with La Maria Chica Norte, which reduced dramatically our lifting costs. We are now in the range of $8 per barrel. And the second -- or the third stage, sorry, is going to be the connection or the tying in of the pipeline, the oil pipeline to [indiscernible], which is the interconnection with the Vaca Muerta system. And we see that after that our lifting cost probably will go down to $5 per barrel.
Lida Wang: Awesome. In the last conference call, you mentioned that Pampa hedge -- well not you or...
Horacio Turri: I didn't mention that.
Lida Wang: You didn't mention that, but someone did. Hedge from May to December, most of this crude oil production at $72 per barrel. Are you planning to continue with this policy in the future?
Gustavo Mariani: Yes, we will continue with the policy of hedging oil prices when conditions are good.
Lida Wang: All right. And regarding power generation, Guido asks, although we do not know what happens -- what will happen with the legacy carriers in the future, what will be the impact on EBITDA for 2026, 2027 when some of your PPA contracts will come to an end? Well, let me -- right now, in '26, we only have a small contract of 75 megawatts of TG4 in Loma de la Lata. And then we have 3 contracts under Resolution 21, Loma de la Lata TG5, Parque Pilar and by Ingeniero White. So the 4 of them, they around -- account around $100 million of EBITDA, a little bit -- yes, $100 million of EBITDA yearly. Estimating that there's status quo, there's no changes and there will be -- because there are peakers. So they should be charging around, I don't know, $5,000 per megawatt month. I am assuming a drop in EBITDA of around $70 million more or less. $100, $220 something, I did the math. So you do...
Horacio Turri: It's a little bit aggressive, but...
Lida Wang: Yes. You do 380 times 5,000 times 12, which is the capacity. This is a rough number, right? It gives you around $25 million of EBITDA. From $125, I guess, the difference is $75 million. But I know it's too early to tell, but that's the drop in the EBITDA. But again, very important, the PPAs on CAMMESA, they are meant to be repaid investment in the tenure of the PPA. So that's why they midway to the spot market. That's unlike to the other B2B or PPAs that we develop in the B2B world like MATER, for example, that doesn't have any maturity at all, they just keep rolling, right? And the other question which confirmed the PPAs and I already said that. Next question, Anne Milne from Bank of America. Does Pampa plan to bid the tender for the hydroelectric concessions in Nihuiles and Diamante?
Gustavo Mariani: Yes. Eventually, yes, we will. We will look at them and eventually participate, not only in the Nihuiles and Diamante, we could eventually participate in any of the hydro concessions that will be auctioned in the coming months. The first ones will be El Chocon, the ones from the [indiscernible] Those are the first 3 hydroelectric concessions that will be auctioned. Later, it will be Nihuiles and Diamante. And once the conditions are on the Street, we will evaluate and eventually we will decide whether to participate in which of them.
Lida Wang: Great. All right. The second question she asks, is there a rough time frame for the Cerri Complex of TGS to fully resume the NGL production?
Gustavo Mariani: Yes. Cerri Complex has already resumed production at full capacity, although because of the floods, equipments are still not with the reliability that they had prior to this catastrophic situation. So they're still adjusting to or they are still solving problems, but it's already fully online.
Lida Wang: She has asked about Rincon de Aranda, we already talked about that. Is Pampa considering calling the '29 bond given it has a high coupon and trading above the coal price?
Adolfo Zuberbuhler: Well, we definitely look all the time to any opportunities in liability management, as I said. But it's not only the coupon, you have to factor in all the cost of issuing a new bond, the prime over $2 that you have to -- premium that you have to pay to call the bond, plus any new issue spread plus any spread in a longer bond. So when you factor all that in, you need to have a positive net present value of all that. And given the case, it might make sense to call the bond, but we are not there yet, but we will keep analyzing and searching for any market opportunities.
Gustavo Mariani: Basically, we don't have any need to do any liability management. If market conditions are good enough, we will eventually do it, but not before.
Adolfo Zuberbuhler: If the net present value, it makes sense and it is because there is a very good market and bonds are trading tighter, well, we look at that in due moment.
Lida Wang: Right. Thank you, Vito. Next question comes from Gustavo Faria from Bank of America Equity. The other one was fixed income. So do you have any estimate about the upside potential of the power sector deregulation in Argentina, including -- let me give you first, higher margin on the fuel procurement in its own thermal power plants, reservoir? That's the first.
Gustavo Mariani: Second, please.
Lida Wang: If there's any margin to the ones that do the self-procurement of fuel?
Gustavo Mariani: Not currently. Nobody is still using that opportunity. It's complicated to explain in a minute. But we are still awaiting -- regarding the deregulation of the power sector, we're still awaiting for the regulator to issue the new rules. As you know, I think it was late last year that they published the Guidelines 1.0. And basically, they gave the industry, all the participants, large users, distribution companies, power generators, I don't know, everybody in the industry to give feedback about these guidelines, which were already given. Now the regulator has been working on Guidelines 2.0, which has not been released yet. So we are awaiting for those new guidelines to come out and to see what they look like.
Lida Wang: And then he asked, well, will there be higher prices for the legacy energy capacity?
Gustavo Mariani: Hopefully. But hopefully, after this deregulation, there will no longer be legacy capacity and there will no longer be the regulator defining a price, but rather letting the market decide for that. But again, we are still awaiting for the new guidelines and it's totally guessing and I cannot give you any better answer than this.
Lida Wang: And Gustavo asked, what's the upside potential for Pampa initiatives because we are gas producers and power producers?
Gustavo Mariani: As we always said, we are awaiting this regulation because as an integrated company that's music to our ears to be able to use our own gas in our own power plants. So we are very eager for this new regulation to happen and to be able to use our own fuels. What additional margin this will bring us is very difficult to forecast at this point.
Lida Wang: Well, I think you talked about it, the time line. You don't know much the time line to have this.
Gustavo Mariani: We are waiting for the second round of guidelines to be published any time, but this will not take effect. This will be, again, guidelines and the government has already announced that they expect the new rules to be implemented during the winter time and to take effect by November -- by the end of this year, basically.
Lida Wang: After the winter?
Gustavo Mariani: After the winter, yes, in November of this year.
Lida Wang: Next question is coming from Bruno Montanari from Morgan Stanley. Well, I think we didn't cover this. With the recent decline in the oil price, do you expect any changes in the CapEx in the intensity, drilling intensity in the ramp-up schedule in Rincon de Aranda?
Horacio Turri: No, no, we are not foreseeing any decline in our rates of drilling or completing the wells.
Lida Wang: Steadfast.
Horacio Turri: Yes, we'll keep the course.
Lida Wang: Okay. And he's asking, well, a little bit more look -- can you provide an update on your CapEx budget per business segment in 2025?
Adolfo Zuberbuhler: CapEx of 2025?
Lida Wang: Per business, like power.
Adolfo Zuberbuhler: Per business. Yes, it's -- the E&P segment will be around $950 million, out of which $800 million goes for the development of Rincon de Aranda, all the infrastructure facilities plus the drilling of all the wells. The other $150 million is basically some drilling in Sierra Chata for a few gas wells plus some maintenance of the same. So E&P around $950 million in total. And power generation is $120 million. That is basically $30 million that is the remaining payments for PEPE VI for the last wind farm that we put online last year. And the other $90 million is maintenance CapEx. It's a little bit above average of maintenance CapEx in power generation this year because we have some, as mentioned earlier, some life extensions. That's why it's a higher CapEx than the average. So all in all, it's about a $1.1 billion CapEx for Pampa this year.
Lida Wang: Great. Awesome. Regarding the Argentina LNG project -- wait it's the YPF's. Do you -- will Pampa also seek to join the future phases being planned by YPF?
Gustavo Mariani: Eventually, yes, but still, we don't have much information about those projects. But definitely, as we have proven with the first one with SESA Consortium that we joined last year. This is strategic for Pampa and it's a way to monetize our very competitive gas reserves. So we will definitely look at all the opportunities regarding LNG that will come out.
Lida Wang: Great. And he asked, finally, regarding the first phase, the FLNG project, is Pampa interested to take part on the midstream, the dedicated pipeline project?
Gustavo Mariani: Pampa itself is not interested in participating in the midstream. That's not our core, but we have TGS whose core business is midstream and it has been proven to the market in the recent years with a lot of investment in the midstream area and a segment of the company that is growing very importantly. So yes, TGS will definitely be interested in participating, in offering the construction and the operation of the pipeline -- of the dedicated pipeline that the floating LNG project will need.
Lida Wang: Awesome. Well, now next question coming from [Luca Cerimele] from Quantum [Indiscernible]. Any comments about -- very broad though. Any comments about Complejo Petroquimico at San Martin, our petrochemical complex? I guess, he's asking about petchem business, I guess.
Gustavo Mariani: Okay. If the question goes for the petchem business, as we have been mentioning in previous call, it's -- this is a tough year for that business segment, which we expect to basically to breakeven or to have just small EBITDA margin this year, but because of international prices, because of basically higher dollar cost and lower sales and more competition from imports. So several factors that are affecting the business. So it's a tough year for the segment, but it's not going to be as good as the previous 3 or 4 years were.
Lida Wang: Awesome. Next question is coming from Jorge Mauro from Fundamenta. I think we covered most of this. So supplying on gas, we talked about that. I guess, adjustments in Energia Basal prices, do you foresee more?
Gustavo Mariani: Yes. I think the trend might continue. Increases -- I think most of the increases have already been given or most of the catch-up has already happened, but not all of it and still some technologies are still struggle to -- struggling to make money. So there might be further adjustment down the road, while we await for the new regulation and the new rules.
Lida Wang: The follow-up of Jorge was about the hydro auctions that we already covered. Next question is coming from Juan Ignacio Lopez from PUENTE. He has one question about the outlook in the power sector, which I think we already talked about that, the outlook in the power sector, the deregulation. I think we covered. Have you made any investment decisions like organic investment decisions in the power sectors? We are aware of the batteries tender launched by the Secretary of Energy. We would like also to know whether you are considering new renewable assets in this context?
Gustavo Mariani: Regarding the battery, the BESS auction, battery -- this auction has been called by CAMMESA. We are studying that. We have recently requested suppliers. So we haven't taken a decision whether we will participate or not. It will very much depend on the cost of the equipment and the projected IRR of [indiscernible] And the same can be said about renewable project. At this point, we don't have anything and we are awaiting the deregulation. We are not taking any decision on new renewable. We believe prices are quite tight. Competition is already tough in that segment. The new regulation might bring additional competition from thermal units. So we are waiting to see how that market -- where the equilibrium prices land before deciding on building new renewable power.
Lida Wang: Next, Andres Cardona from Citi. Is there any M&A opportunity that you're looking at?
Gustavo Mariani: We are always analyzing M&A opportunities in several sectors, but nothing concrete that I can comment right now.
Lida Wang: Awesome. Andres Cardona from Citi and also Andres Cirnigliaro from Balanz are asking together, can you provide information about the status of the Rio project? How close is the FID?
Gustavo Mariani: We are not -- the FID is far away and we are -- we have a team -- we have set-up a team and the team is working very hard to get all the information, to have suppliers providing us with firm quotations of the total cost of the project. We are several months away of obtaining that information. Hopefully, it will be before year-end. But we hope to be able to make a decision by year-end, first quarter of next year to decide whether to go forward with the project or not.
Lida Wang: Great. Well, next question, very oil and gassy, oil actually, from Daniel Guardiola from BTG. He's asking, could you share us an indication of the expected trajectory of the production flowing from Rincon de Aranda in 2025, I guess, throughout the year?
Horacio Turri: Through the year. Okay. Well, we -- as I mentioned before, we started with a little bit more than 6,000 barrels per day right now. We will go up to 12,000 barrels by August, September. And hopefully, by the end of the year, we will be reaching the 20,000 barrels per day.
Lida Wang: Awesome. And then share with us the total amount of DUCs you currently have? And what is expected time it will take you to frac and put them into production, this inventory of drill out pad and complete wells?
Horacio Turri: Okay. Currently, we only have 1 drilled and completed well, which is Pad #5. We are currently drilling 2 more pads, Pad #10 and Pad #11. And we still have to drill and frac Pad #5 and then we will proceed after that with the fracking of Pads 10 and 11. And this is basically because we have 2 other pads, which are Pads #7 and #8 that have been drilled up to the landing point in Vaca Muerta, but not the horizontal leg, just to avoid interference between drilling and completion or the parent-child as it's usually known. So to be more accurate, we have 1 DUC, which will be drilled in June. And then we will be drilling by September and November, Pads #10 and #11.
Lida Wang: Great. Daniel now is getting more into the point and she's saying, can you share some data of Rincon de Aranda, like UR, IP production lifting cost? Lifting cost we covered. CapEx per well? And if possible, any IRR you're expecting per well basis?
Gustavo Mariani: Okay. Regarding the IP and the UR, we are talking about 1,600 barrels per well. And the UR will be around 1.2 million, 1.3 million barrels. And cost per well, it's in the range of $16 million to $17 million. Yes, at this point. Once we reach the factory model, which is hopefully going to happen by the end of this year, we hope that our CapEx per cost will go down to some figure around $15 million to $14.5 million.
Lida Wang: He says, well, to better grasp how resilient your oil operation, are you able to provide any indication of how much is the breakeven of Rincon de Aranda in terms of Brent cash? Yes, cash breakeven and Brent?
Horacio Turri: Yes. If we're looking at the factoring model, CapEx, the project is -- had a breakeven of less than $40 per barrel. We are talking wellhead. And regarding the CapEx per well, it's very important to notice that we are also adding to the total CapEx, the flow lines, because usually, oil companies tend to avoid the adding up of the flow line from the well to the treatment facility. And this is why some companies are showing costs of $12.5 million to $13 million per well. But you need the flow line to get that oil out.
Lida Wang: Great. Thanks for the transparency. And then one more from -- one more. He's asking, Daniel, what is the real potential of exporting gas to Brazil? And can you provide us an update on this infrastructure you're using to shift the gas to Brazil?
Horacio Turri: With the current infrastructure, we are capable of exporting to Brazil around 4 million to 5 million cubic meters per day, not million cubic meters per day. The infrastructure that we use is the infrastructure that is already there in place, basically the reversion of the Northwest pipeline plus the Bolivian infrastructure, plus the Brazilian infrastructure from the Bolivian border to Sao Paulo. It's a lot and it's very expensive. So far, it's very expensive. So we are barely competitive with the alternative of the Brazilian industry, which is getting LNG from their regasification terminals.
Lida Wang: Awesome. And one more from Daniel. He says, do you foresee any potential synergies of having YPF as a new partner in Sierra Chata? Are you considering to accelerate the development of that field?
Horacio Turri: Well, having YPF with all the LNG projects that they have in their portfolio definitely helps us to accelerate the development of Sierra Chata. So I think it's good news.
Lida Wang: That was all from Daniel. Now we turn to someone I don't know, but he's asking, Christian Andrews. Broadly speaking, is the recent 5-year carrier review for TGS Transener positive for your business? We were hoping or expecting for more favorable tariff increases. I think he was pretty on line, right?
Horacio Turri: So we were not -- I would say that we were not surprised by the outcome of the integral tariff revision neither of Transener or TGS, because as you know, we -- the companies participate a lot in providing information and discussing with the regulators. So it didn't came as any surprise. It was in line with our expectations. That was the question?
Lida Wang: Yes. It was like, are you okay? I guess, in a nutshell, are you happy with the customer?
Gustavo Mariani: Happy, yes. We are happy with the outcome.
Lida Wang: Another question from Christian. He says, in power generation, have payment terms mostly normalized with CAMMESA or you're still facing long payment delays? He's not following for a long time.
Gustavo Mariani: Yes. CAMMESA since the events of April -- March, April of 2024, since that event, CAMMESA has very quickly begun to pay not exactly right on the date of the maturity of the invoice, but within the next 3 weeks, CAMMESA fully pays the invoice of the month. So within the month, we fully collect both from CAMMESA and. So there are a few days of delays in the payment, but nothing relevant.
Lida Wang: Like 5 days?
Gustavo Mariani: In average, 5 days, yes.
Lida Wang: Coming from 60 or more?
Gustavo Mariani: Yes, exactly. So yes, basically, CAMMESA is...
Lida Wang: The best payer.
Gustavo Mariani: Excellent payer today.
Lida Wang: Another question coming from Matias Cattaruzzi from Adcap Securities. Could you break down the expected time line from the Phase 1 FLNG project?
Horacio Turri: Say again, please?
Lida Wang: Like the milestones on the FLNG project, like by end of this year, we do some...
Horacio Turri: Well, the COD on the first vessel is expected for the last quarter of 2027.
Lida Wang: In the meantime, what kind of...
Horacio Turri: In the meantime, we need to secure the gas transportation project for SESA. So I would say that plus the interconnections with the San Martin pipeline and all the yoke ancillary services that we need for the vessel, basically. The yoke is the Mooring system that allows the ship to deal with tides and with wind and with normal movement of the emotion of the ocean 5 kilometers away from the coast.
Lida Wang: Okay. Well, we have to better keep it up. So he is asking about volume, revenues, EBITDA. We already talked about that. So you can see it in the rewatch. And then another question coming from Valentino [ Caramutti ]. Do you see further needs on Brazil gas imports from Pampa?
Horacio Turri: We see Brazil as a very big and relevant potential market. But as we mentioned before, it has to -- we have to deal with the transportation tariffs that are imposed all over the way. If that is reduced, definitely, it's going to be an opportunity for new exports to Brazil. But taking into account this cap of 5 million cubic meters per day, in order to do more than that, you need additional investments.
Lida Wang: He asks...
Gustavo Mariani: Sorry, one relevant thing to mention here that has been published here is that beginning in 1st of May, we have begun exporting gas through gasoducto [indiscernible] Chile to the region. We are currently exporting almost 0.5 million cubic meters per day to Shell. And it's -- I mean, it's the first export that takes place through that pipeline apart from what YPF was doing for the past years.
Lida Wang: Very good. Yes. Well, Valentino Caramutti is also asking from [indiscernible]. Are you planning to raising more debt in the short, medium-term?
Adolfo Zuberbuhler: I think we covered that. But we don't have to raise new debt, we are okay with the level of debt we have. But we're always looking for market opportunities and we are very active in our liability management, but not for any of these projects or for CapEx.
Lida Wang: And the last one because we are in the top of the hour. Jorge Mauro asking, if the -- in the upcoming sale of Citelec by ENARSA, can you participate? Would you? I mean, I guess, Transener sale, right? The sale of Transener's share of it.
Gustavo Mariani: Yes. ENARSA is working in a process of divesting Citelec, which is a controlling -- their 50% ownership of Citelec, which is the controlling company of Transener. Regulatory-wise, if you are a distributor or a power generator, you cannot control transmission. So we currently have the co-control together with the government of transmission. We cannot go beyond that. So we cannot acquire ENARSA's stake in Citelec. So that is the answer.
Lida Wang: Great. Awesome. So we are at 12:02. This is concluding our Q&A section. Thank you for joining us and taking time to join this call. Take care. Should you have any questions, please let us know, write us to Raquel or me to anything, and have a good day. See you next August. Bye.
Gustavo Mariani: Bye. Thank you very much for joining.